Operator: :Â Good day, ladies and gentlemen, and welcome to IZEA Worldwide, Inc., Inc.'s First Quarter 2024 Earnings Call.[Operator instructions] Please note, this conference is being recorded. I would now like to hand the conference over to President and Chief Operating Officer, Ryan Schram. 
Ryan Schram: Good afternoon, everyone, and welcome to IZEA's earnings call covering the first quarter of 2024. I'm Ryan Schram, President and Chief Operating Officer at IZEA. And joining me on the call are IZEA's Chief Financial Officer,Peter Biere; and IZEA Founder, Chairman and Chief Executive Officer, Ted Murphy. Thanks for being here with us today. Earlier this afternoon, the company issued a press release detailing IZEA's performance during Q1 2024. If you'd like to review those details, all of our investor information can be found online on IZEA's Investor Relations website at izea.com/investors. Before we begin, please take note of the safe harbor paragraph included in today's press release covering IZEA's financial results and be advised that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking, and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. We encourage you to consider the disclosures contained in our SEC filings for a detailed discussion of these factors. Our commentary today will also include the non-GAAP financial measure of adjusted EBITDA. Reconciliations between GAAP and non-GAAP metrics for our reported results can also be found in our earnings release issued earlier today and in our publicly available filings. And with that, I'd now like to introduce and turn the call over to IZEA's Chief Financial Officer, Peter Biere. Peter? 
Peter Biere: Â Thank you, Ryan, and good afternoon, everyone. I'll review operating results for the quarter ended March 31, 2024, compared to the prior year's quarter and discuss certain balance sheet highlights. We saw strong demand for managed services during the first quarter of 2024, resulting in a 53% lift in bookings over the prior year quarter and the highest total in 7 quarters. This demand will begin to show in revenues over the next several quarters, and we believe bodes well for our growth resurgence. Managed Services bookings for the first quarter of 2024 totaled $9.3 million compared to $6.1 million for the prior year's first quarter, a 53% increase. The increase was primarily due to a strong sales pipeline that has been building over the past 6 months, both in the quantity of opportunities created and the dollar value of those opportunities. In Q1, the new opportunity dollar amount was up 105% year-over-year, which bodes well for coming quarters. A percentage of our new opportunity pipeline converts into bookings, which subsequently convert into revenue. As a reminder, IZEA reports bookings as a net number cancellations or refunds issued within a quarter are deducted from the bookings figure for that specific quarter. As a result, net bookings will always net out to revenue over time. Our total revenue for the first quarter of 2024 was approximately $7 million, 20.4% below the prior year quarter. Excluding the previous year's first quarter revenue attributable to the large customer that we parted ways with in 2023 or our nonrecurring customer, revenue grew 32.2% from the prior year quarter. While revenue was below bookings in Q1, I want to be clear that this is a matter of timing. IZEA's revenue trails bookings with the current delivery time between bookings and revenues averaging 7.5 months. Our managed services backlog, which represents the total of unrecognized revenue for contracts that are underway as well as recent bookings that we haven't started to invoice totaled $14.5 million on March 31, 2024. This is an increase of $2.6 million versus the fourth quarter of 2023. Looking at revenue components, managed services revenue, including Â HoozuÂ  totaled $6.7 million during the first quarter of 2024, which was $1.8 million or 21.2% lower than the first quarter of 2023 removing approximately $3.5 million of revenue from our nonrecurring customer in the first quarter of 2023, managed services revenue increased by $1.7 million or 33.3% from the same period in 2023, largely driven by improving demand. SaaS services revenue totaled $0.3 million in the first quarter of 2024, an increase of 21,400 or 9.1% from the prior year quarter. This growth has been driven by a combination of the acquisition of Zuberance and revenue from its customer base, along with subscriber expansion primarily with IZEA.com.    We concluded Q1 with a record number of active SaaS customers, a positive trend that has persisted into the second quarter. The overwhelming majority of those customers are using IZEA's AI tools. Our total cost of revenue was $4 million in the first quarter of 2024 or 57.1% of revenue compared to $6 million or 68.2% of revenue in the prior year quarter. The higher cost of revenue in the prior year quarter is attributable to our nonrecurring customer. Expenses other than the cost of revenue totaled $7 million for the first quarter of 2024, up 14.4% from $6.2 million in the prior year quarter. Sales and marketing costs totaled $3.1 million for the first quarter, up 27.1% to the prior year quarter due primarily to higher spending on demand generation activities to drive bookings growth and brand awareness. General and administrative costs totaled $3.8 million during the first quarter, up 11.1% from the prior year quarter due primarily to higher human capital and noncash stock-based compensation costs. Our net loss in the current quarter totaled $3.3 million or $0.20 per share on 16.3 million shares compared to a loss of $2.8 million or $0.18 per share on 15.6 million shares. Adjusted EBITDA was negative $2.8 million for the first quarter of 2024 compared to negative $2.2 million for the prior year quarter. As of March 31, 2024, we had $60.8 million in cash and investments, a decrease of $3.4 million from the beginning of the quarter, primarily due to negative EBITDA and some additions to working capital. We earned $666,305 in interest on our investments during the quarter, up about 16.5% over the prior year, which reflect improved interest rates. Lastly, we do not have any debt on our balance sheet. With cash on hand and liquidity from our investment portfolio as required, we're in a solid position to execute on both organic business growth and acquisition opportunities that lie ahead. With that, I'll turn the call back over to Ryan. 
Ryan Schram: Thanks, Peter. Our management remarks will be rather concise this quarter, given that our most recent call with you was just about 6 weeks ago. In Q1, managed service bookings at IZEA saw a notable upswing in year-over-year growth. This surge was fueled by a strong pipeline established during the fourth quarter of 2023, which carried over into Q1 of 2024, setting a new company record. This growth isn't just monetary though. It's also reflected in the increased number of opportunities overall, which aligns with our strategy to diversify IZEA's revenue streams. Our intent is to have a more balanced customer base moving forward with more clients in more sectors in more geographies. Our comprehensive marketing strategy, coupled with our investment in demand generation is also proving to be highly effective. We're witnessing a notable impact with sustained year-over-year growth in our pipeline, which has continued here in the second quarter. Q2 has commenced with promising momentum as well with IZEA welcoming new managed service customers and expanding key existing customer relationships. While managed services remains the company's primary revenue driver, SaaS revenue is showing signs of recovery as well. As we wrapped up Q1, IZEA hit a new record number of active SaaS customers, a trend that continues positively into the second quarter. I'd now like to turn the call over to IZEA's Founder, Chairman and CEO, Ted Murphy, for his remarks. Ted? 
Edward Murphy: Thank you, Ryan. We are excited about the organic growth in bookings and continued potential we are seeing in managed services, along with the beginning of a recovery cycle with SaaS. In December, we successfully acquired Â Hoozu and Zuberance, advancing IZEA's M&A strategy that I outlined last year. These acquisitions demonstrate our commitment to strategic alignment with our core focus on the creator economy. Integrating Â Hoozu and Zuberance brings new segments and expertise, fostering promising synergies, which we are starting to realize. Our acquisition philosophy emphasizes stable operations, manageable risks and post-acquisition upside. Over the next 2 years, we aim to accelerate our acquisition strategy, expanding our global reach and providing additional customer diversification. We are starting with smaller transactions and intend to grow the size of our targets over time. Today, we have filed a $75 million shelf registration. We do not intend to immediately make use of our shelf. We believe our stock is currently undervalued, and we have a very strong balance sheet to support ongoing operations and near-term acquisitions. However, having a shelf available provides the company with additional financial flexibility and the option to see creator economy acquisition opportunities of all sizes as we look forward over the next 3 years. While there has been some recovery in our share price since the start of the year, we are still trading at near cash value, describing 0 to little value and all to the operating company. I want to reiterate that we have no debt, no warrants outstanding, no preferred stock outstanding, and we are poised to grow. I'm confident in that growth and believe we will reach $76 million in annual revenue by the year 2026. The Board and management are committed to creating value for our shareholders, and we want to be clear that proactive measures of all types remain on the table. We appreciate your support and believe IZEA is worth much more than what is reflected in our current market cap. Thank you all for your time today. I would now like to open the call for Q&A from the analyst community. 
Operator: Thank you, sir. At this point, we have no questions from the lines. I will now hand over to Ryan Schram for closing remarks. 
Ryan Schram: [Indiscernible] And our latest press releases at izea.com/investors. Have a great evening. 
Operator: Thank you. Ladies and gentlemen, that concludes today's event. Thank you for attending, and you may now disconnect your lines.